Operator: Greetings, and welcome to the Astronics Corporation First Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to, Deborah Pawlowski. Thank you. Please go ahead.
Deborah Pawlowski: Thanks, Brenda and good morning everyone. We certainly appreciate your time and interest in Astronics. On the call today we have, Peter Gundermann, our President and CEO; and Dave Burney, our Chief Financial Officer. Pete is going to cover the results of the quarter and then we will open up the call for questions and answers. You should have the news release that went out this morning. It's also available on our website at www.astronics.com. As you are aware, we may make some forward-looking statements during the formal presentation and Q&A portion of this teleconference. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the earnings release as well as in documents filed by the company with the Securities and Exchange Commission. These documents can be found at our website or at sec.gov. So with that, I'll turn the call over to Pete. Peter?
Peter Gundermann: Thanks Debbie and good morning everybody. It is nice to have you with us. We’re going to talk through our first quarter results and what our expectations are in a little bit more detail than we normally do for the remainder of 2015. I’ll start with a brief review of the headlines as we see it. We feel that our first quarter was a solid start to the year. We had a reasonable range of expectations and our first quarter was in that range. And we think it sets us up well for the second quarter and the third quarter. That being said, it’s probably pretty apparent that our first quarter to be considered a tale of two quarters almost. Our Aerospace segment, the majority of our business had a very, very strong start to the year. We set new records in sales bookings and backlog in that part of our business. Our Test Systems segment did not have what would appear to be as good a start to the year. We’ve been talking about how that part of our business is relatively lumpy in nature compared to our Aerospace business. And as it’s grown affects our overall results more. And I think I look at the first quarter and I would say that we were on the tough side of lumpy in the first quarter. We had become somewhat accustomed to being on the positive side of lumpy through the second half of last year. So this was a little bit of a different appearance on our consolidated results. But and we’ll talk about this more specifically. Our plan is that we should see a very strong recovery in our Test business effective almost immediately in the second quarter and especially in the third quarter this year. So it’s not as though first quarter results were a surprise to us, it’s not as that wheels are coming off the wagon, it’s more just been kind of the predicted ebb and flow of our business in that nature, in that segment. Consequently kind of at the end of the day we’re leaving our 2015 revenue forecast in place, $680 million to $740 million, and again we’ll talk about how we expect that to play out in the coming quarters at the end of my little monolog here. So, getting into some of the more specifics of the quarter, revenue was $161.6 million that’s up almost 15% over the comparator quarter a year ago, the beginning of 2014 and down marginally 2.7% sequentially from the fourth quarter of 2014. There was some acquisition growth in there. The organic growth year-over-year as we calculated was just shy 10%. Bottom line results were as we would have expected on that revenue level. Net income was $10.7 million, 6.6% of sales, diluted earnings per share of $0.47 per share up from $0.33 in the first quarter of 2014. Our net income was 5.3% of sales in our year-ago period and 11.1% in the previous quarter and the fourth quarter of last year. And some of you may be inclined to compare our first quarter financial results to our fourth quarter and it would look at first glance that our profitability was down substantially. But it’s important to keep in mind some of the things we talked about in our fourth quarter last year and our last call. Specifically we had a substantially reduced tax burden due to the late passage of the R&D tax credit by our elected leaders in Washington which benefited us to the tune of $3.5 million almost in the fourth quarter. And we had what is called a write-down in fair value contingent consideration liability which means that we had to adjust down some of the expected earn-out payments from some of our previous acquisitions which actually benefited in the fourth quarter by a pre-tax level of about $4.5 million. So you add those two things together, and they pretty much explain the difference in margins from the fourth quarter of 2014 to the first quarter of 2015 on comparable sales. Our engineering and development expense, something a lot of people like to track was $22.2 million in the first quarter, that comes out to about 13.7% of sales which was a little higher than we’ve been seeing the last couple of quarters but still below our historical longer term norm of 15% to 18%. So, we continue to say that model makers should budget that number somewhere in the 11% to 13% range going forward. The highlight of to the first quarter was our bookings level. We booked at $158 million, which was our second best total ever. Only below $235 million which was the previous quarter, the fourth quarter of last year. So, we think that the strong bookings in the fourth quarter and the strong bookings in the first quarter sets us well for the rest of the year. Our ending backlog at the end of the first quarter was $378 million that’s our highest ever. Going into the segments briefly, I talked about a tale of two quarters. The Aerospace segment had record revenues of $142 million, up 16% from the comparative period a year ago and 88% of our total business. Our operating profit in the first quarter was $23.4 million or 16%. Bookings were not quite at the level of revenues but really close to $141 million that is the new record. And we ended the quarter with Aerospace backlog of $234 million which is also a new record, so record revenues, record bookings, record backlog, things seem to be well in this segment. Looking at some of our sales channels, we are - we continue to b heavily weighted towards commercial transports. I just said that 88% of our total business is in the Aerospace segment, 74% of our total business is in commercial transports. That number has grown and continues to grow. We’re relatively small in other parts of the Aerospace industry 5.7% in military aircraft at this point and 5% in business jets. When you cut our business by product-line, you see that our electric power and motion is about $70 million in the quarter up 5.7% over the comparator period a year ago and 43% of our total. In that number is our passenger power or In-Seat Power products and we’re not breaking these out separately anymore in our press release. But I know we’re going to get questions, I want to give you the numbers here. We had in the first quarter In-Seat Power sales of about $59 million, just shy of $60 million, $59.7 million. And if you go back and run the numbers that’s a 12.9% increase from the first quarter of last year and impressively a 9.7% increase in the sequential quarters from the fourth quarter last year. In that total, that $59.7 million just to be clear, we include $1.1 million, a relatively modest amount from our Armstrong acquisition of January. Armstrong sales are reported in three different areas in our product lines. But they do have some products related to In-Seat Power or passenger power I guess I should call it more specifically. So, we think it’s appropriate to consider to include that in this total going forward. Moving on to other product lines or lighting and safety $42.1 million up 20% and 26% of total and Avionics $17.4 million up 36% and 10.7% of total. So, a lot of growth across our major product lines, and a new product grouping, you’ll notice if you looked at table in the press release, you’ll see something called Systems Certification. This is a majority of where we’re going to be reporting our Armstrong sales going forward because of a lot of what that organization specializes in, is certifying systems for clients ranging from ISE systems to connectivity systems, the seating systems, so there are various things that suppliers want to put on airlines. Those systems need to be certified, that’s something that Armstrong helps with them since it doesn’t really fit into other product groupings that we normally report we’re creating a new one to capture that effort. We had two significant Aerospace customers in the quarter, our practice as of this year or as of last year I guess is not to name significant customers in the Qs but name them in the Ks. But you can guess who they are if you followed us. One of them was 0.4% of sales and the other one was 15%. So, our traditional two big Aerospace customers continue to be our two big Aerospace customers driving our results. With a couple of announcements in the Aerospace segment, just in the last 24 hours, we announced participation in the Pilatus PC-24. That’s a new twin-engine jet being developed by Pilatus in Switzerland. And what’s exciting about it for us is that it just flew yesterday and we’ve been working on it for quite a while now putting a new what we call an EPDS system, Electronic Power Distribution System, primarily in the secondary power system in that airplane, not the primaries. And also for the first time putting on our starter generators, so we have been developing for some period of time. As many of you know, a solid state starter generator which we think offers substantial performance and reliability improvements over traditional systems. This is the first paying customer so to speak to plan a system around this technology for us. So, we’re excited about that. Pilatus has not been a long-term customer of ours but we’ve enjoyed working with them and we’re excited to sharing their success on their first flight, just in the last few hours. The other announcement we made recently in the last quarter was something that is, at first appeared to be a little bit out of our typical sweet-spot and that’s the joint venture with a company called SmartTray International. And if you’ve read that release you might be a little puzzled, it’s basically a modified trade table for commercial transport airplanes that is specifically designed to accommodate personal electronic devices like tablets or phones. And the simple situation here is that people are bringing more and more devices on to airplanes. I’m sure everybody on the call here has noticed that. And there comes a question as to where you’re going to put this device on your allotted space in an airplane seat. And the idea with the SmartTray development is to provide a stand or a mounting point where people can easily mount their devices in a kind of ergonomically friendly and convenient way. And this, we tend to be a company that gravitates towards higher technology and kind of complex systems. So this may appear at first not to be something that would be well suited for us but we’ve come to be convinced that this is an opportunity for us because of our market presence, we’re obviously involved in what people do with their personal electronic devices in airplanes. And we touch a big part of the potential market for this product. We’re one of the unique companies that deals basically with all the OEMs who make airplanes. We deal with the vast majority of airlines around the world who fly and operate the airplanes. And we also deal with the vast majority touch the vast majority of fleet manufacturers who put tray tables on their seats. So, that combination of market presence and kind of product area interest we think suits us well. And we think we’re reasonably excited about how this product will be received in the industry. So we’ll talk about it more as appropriate. But it was one of the developments of our first quarter here. Test Systems segment. Revenues in the first quarter were $19.3 million up from $18.7 million in the first quarter of 2014. That would appear to be an 11.9% gain in sales but you need to keep in mind that in the first quarter last year, the major acquisition we had in Ervine from EADS was with us only for four weeks in the quarter. So, our first quarter sales look higher than the first quarter last year but its 13 weeks compared to four weeks. And when you at that that way, the company was obviously operating at a much higher level in the first quarter of last year. In the first quarter this year we reported an operating loss of $2.2 million, we feel that was driven mostly by the low volume and the adverse mix. Essentially the company is sized for a breakeven of about $100 million to $110 million in revenue. And when we take the revenue levels that we had in the first quarter, we wouldn’t necessarily expect it to be profitable. But we have a backlog at the end of the quarter of $144 million, and majority of that or much of that will ship in the second quarter and third quarter. So, we expect to be again on the positive time of lumpy going forward here in the second quarter and third quarter. Bookings in the first quarter were $16.8 million, and again, if you talk about lumpy, fourth quarter bookings the end of last year in our Test Systems segment was $105 million, that draft the $17 million in the first quarter. So, it’s just the nature of this business, it’s the way things are going to work. And again, we don’t view the first quarter as any indication of substantial problems in the business but kind of a predictable result of how customers want their deliveries scheduled. We did announce a couple of new wins in our Test Systems segment. One is, a VIPER/T, some of you have followed our business may recognize that term, that was something that was part of our business for the U.S. Marines a few years ago. Saudi Arabia has decided that they want in on that technology and we are basically developing and delivering an upgraded and modified version of that Test System for forward deployed situations. It’s a relatively limited initial contract with a value of $3.6 million, we do think there is, will be ongoing potential when the time comes. And we think that some of the insertion, the technology we’re putting into this new system will be desirable to other potential customers of the VIPER program. So we’re excited by that win. The other win we announced was something RFDACS or RFDACS stands for Radio Frequency Distribution and Control System. This is not so much a Test System as much as part of a digital communication system for modern submarines, the Virginia and Los Angeles class of submarines. This is an IDIQ contract with the Navy. Stated value is $36 million performance period is 5 years. And it’s a continuation of a contract that we’ve been working on in the past. So, it’s kind of a newer word for a continued project which we of course are happy to get. So, these are programs that we’ve been pursuing for some time. I think it’s important to keep in mind that they didn’t come out of the blue. And we don’t necessarily feel like this represents any substantial change in climate with our government and their funding priorities as much as they eventually the programs that they talk about actually come true. So these are two of those and we’re happy to have them. Our balance sheet at the end of the first quarter, we feel, continues to be healthy. Cash at $22 million, total debt of $216 million which is up a little from the fourth quarter primarily driven by the Armstrong acquisition, so, net debt of $194 million, we think that’s comfortably in our covenants and adequate for the task we have ahead of us as a company. So, looking forward, our 2015 beginning backlog was $371 million. I mentioned a few minutes ago that at the end of Q1 it had risen a little bit to $378 million. We are maintaining a revenue guidance of $680 million to $740 million for the year, the mid-point of that range would put us at about 7.5% growth over 2014. We continue to believe that Aerospace will be in the $550 million to $580 million range and Test Systems will be in the $130 million to $160 million range. Given the lumpiness of our Test business, we’re going to deviate from our traditional pattern of being somewhat vague about our quarterly revenue expectations and be a little bit more specific. We expect second quarter revenues to be modestly up from the first quarter. There is going to be some mix changes going on underneath the surface. But we’re expecting Q2 to be somewhere in the $165 million to $170 million range. We are expecting Q3 to be for our company a blockbuster. We’re expecting revenues in excess of $200 million in Q3, which will be a new record by far our previous record, or current record is $179 million. And that was achieved in the third quarter of 2014. So, we’re expecting increases in revenue in Q2, a big increase in Q3. Q4 is a little bit fuzzier but obviously with the guidance I just gave, it’s easier to kind of zero in where we think Q4 is going to be also. So, I guess that’s it for my prepared comments. And we’ll take questions at this point.
Operator: [Operator Instructions]. And our first question comes from the line of Kevin Ciabattoni with KeyBanc. Please go ahead with your question.
Kevin Ciabattoni: Hi, good morning guys. Thanks for taking my question.
Peter Gundermann: Good morning.
Kevin Ciabattoni: Pete, just looking at your last quarterly call, kind of late mid-February, it sounds like the deliveries in Test completed in 2014 and obviously I understand the timing of it. I guess, I’m just trying to understand did something change between that February conference call and the end of the quarter, because obviously you were a little bit more than half way through the quarter there at that point. And it seems like you should have had a good grip on this shipment in 1Q at that point versus what they’ve been in 4Q in the past. Just kind of wondering if the cadence changed partly through the quarter or if it just wasn’t communicated well?
Peter Gundermann: Well, I was hoping to get it to at least the second or third question before we got to this topic. But we basically didn’t communicate it well. And to be honest when we come to a year-end we are pretty much all hands on deck trying to close the previous year especially a year like we had last year. And we gave some indication that we thought the first quarter was going to be lighter and we were going to build later in the year. But we weren’t as specific as I think we need to be. So that’s why we’re changing our tune a little bit in terms of how we’re going to give quarterly guidance going forward. I think it’s fair to model-makers out there who or otherwise kind of left guessing how lumpy is lumpy. So, we’re going to try to do a better job communicating that going forward.
Kevin Ciabattoni: Okay, understood yes, and I appreciate the quarterly revenue guidance I think that will help significantly just given the lumpiness of that business obviously. Looking at the E&D line, if you look back 12 or 18 months or even further, the majority of that theme to be focused on EPDS, the starter generator, and now a lot of those opportunities are coming to market. I’m just curious where most of the E&D effort is focused today? Is it still on those same systems and just developing them further or are there new projects that you’re working on?
Peter Gundermann: We certainly have not discontinued any of our major initiatives. So, to the extent that they were major initiatives, they continue to be. I think the best way to answer it is that our universe of investment options has increased as our business has unfolded and as we’ve expanded. So the absolute number in terms of the dollars being spent continues to go up, but the percentage of revenues is coming more in line with that kind of 11% or 13% range which is or 10% to 12%. I think it’s going to settle somewhere in that area. But we continue to be a company that looks hard at where the opportunities are. We’re not afraid to stick our neck out. And we do have a range of initiatives underway which will bring us new opportunities and new obligations. So that number could go up depending on how successful we are with those new programs. But it continues to be kind of a core principle of how we want to run the business.
Kevin Ciabattoni: Okay, that’s helpful. The next one just looking out a month ago or three weeks ago when it was, around the Hamburg Show, we typically see a lot of announcements about new aircraft interior products. It seems like there is an increasing number of competitors out there with ISE systems that are either wireless content delivery on the aircraft or fiber optic delivery in some cases. A lot of which is narrow body focused obviously that’s given the weight constraints. And a lot of those seem to include USB charging, I’m just wondering if there is any color you can give on whether or not you’re working with any of these providers I mean, outside of your typical Panasonic and Palace [ph] and whether you think there is any potential for growth from your end on some of these new light-weight systems?
Peter Gundermann: Good question. And there is no doubt that on the one hand the world is getting more competitive in the sense that we’re showing some success. And we’ve kind of created a niche and it’s a niche that’s proved very popular with airlines and lots of other companies in the industry have noticed. So it’s relatively easy to put together a mark-up. But I guess I’d tell you at the same time that we’re, we’ve done a good job I think of staying pretty neutral in the industry and earning a high level of integrity in terms of being able to work efficiently and effectively and creatively when needed with our customers. So we named Panasonic and Palace [ph], they’re certainly two of the more established ISE guys that we have worked with and continue to work with. But we work with a wide range of airlines and other I guess systems providers I guess I’d call them. So, we maintain good relationships and we take very much an interest in developments in our industry. And the range of potential customers that you’ve described, certainly have not gone unnoticed by us. So, we’re continuing to work hard to maintain our position in the industry.
Operator: Thank you. And our next question comes from the line of JB Groh with DA Davidson. Please go ahead with your question.
JB Groh: Hi, good morning guys.
Peter Gundermann: Good morning. I noticed on the military Test Systems was really strong this quarter. And what’s embedded in the outlook there for military, I don’t know if you want to get that granular but that really popped out in terms of the number?
Peter Gundermann: We - that is the core of our Test business traditionally. And it’s certainly one that we’re looking to adapt to and to adjust to. I’m not sure I have a whole lot of granular detail for you other than the two winnings that I mentioned are certainly in that side of our business the RFDACS, and the VIPER/T. So, those are the kinds of programs that we need to win to maintain our presence in that area. We also have, we have an instrument capability that came with our EADS acquisition in Ervine that we haven’t talked a whole lot about subsequent to the acquisition. But it’s an important capability and there are certain, I guess I’d call them next generation instruments that we are working to introduce. And in due course may have something to talk about there. But we think that’s an important market to us. And even though the current administration has maybe not funded it the way we would like or what we have grown accustomed to in the past. It’s a presence that we are looking to fine-tune and capitalize going forward. So, we’re hoping we can continue to do a good job in that area and show some good numbers.
JB Groh: But the big driver of the Q2 and Q3, it’s going to be on the commercial side, correct?
Peter Gundermann: That’s correct.
JB Groh: Okay.
Dave Burney: JB this is Dave, I would add that with regard to the military part of the Test business, a fair amount of that has to do with we had three or four months of that business reported in 2015 Q1. We only had about four weeks in last year’s, much of this year was military compared to the four weeks of last year which much of it was commercial.
JB Groh: Okay. And then, moving over to the electric power side, could you give us a sense of what you think the on the OEM front, on narrow-body, what the penetration is there currently? And maybe what you kind of expected to go to in the conversations we’ve had recently?
Peter Gundermann: Well, I guess in general, our sense is that the vast majority of customers want it. There are some who clearly won’t do it, kind of the most I guess the most economical, the most economical of the economy carriers are probably the ones that are less likely to do it. But pretty much every else, the vast majority of operators including especially the fleet, the larger hub and spoke fleet operators that offer multiple classes of aircraft view it as something they definitely want to do. And the heart of your question is what’s the rate of change going to be and where is it going to end. And we don’t, we can’t pretend to know that. But we don’t see a limit and we still think we’re at the, we don’t see a limit yet. And we don’t think we’re still at the early stages of that game. We typically say we’re in the 10% to 15% range in terms of penetration in narrow-body aircraft. And I think we’d hold with that view at this point.
JB Groh: But in terms of the OE, when you say 10% or 15% you’re talking total fleet, correct?
Peter Gundermann: Right, that’s correct. You mean new airplanes coming out of production?
JB Groh: Yes, new airplanes coming of the line and what’s the penetration there, it is bit higher yes?
Peter Gundermann: No, no, very few I’d say.
JB Groh: Really, okay.
Peter Gundermann: Yes. Because the way it works most airlines don’t adapt at first on their incremental new airplane. They actually will put it on their fleet and then promote it. And then take it on new airplanes also.
JB Groh: Okay.
Peter Gundermann: But a lot of times when they make a fleet decision like that, it’s almost too late to get it on the new production airplanes because that’s I guess a particularly complicated and expensive process. But so, it’s not uncommon for some of our newer customers with narrow-body airplanes to fly their airplanes immediately to a mod center, have it put it on afterwards, after delivery. So, actually the new aircraft penetration rate lags substantially what we see happening in the industry and that’s kind of a normal sequence of events.
JB Groh: Okay, thank you very much.
Peter Gundermann: Sure.
Operator: Our next question comes from the line of Dick Ryan with Dougherty & Company. Please go ahead with your question.
Dick Ryan: Great, thank you. Pete, a few on the financial side, was there any FX impact in Q1 and are you kind of factoring anything in for Q2 or Q3?
Peter Gundermann: You mean foreign exchange effect?
Dick Ryan: Yes.
Peter Gundermann: Yes, I think there were, Dave you want to answer that?
Dave Burney: Yes. Particularly with regard to the business in France which is all denominated for the most part in Euros that it’s been a headwind. I can’t quantify what the exact impact was, I don’t have it at my fingertips right through where I’m sitting. But it was more of a headwind than anything else in the first quarter. It will be a headwind on our earnings in that facility which in our sales, and our sales in the France operation too. But single percentage point effect not huge. When you look at the revenue forecast we have the revenue that’s denominated in foreign currency is probably in the neighborhood of $40 million to $50 million.
Dick Ryan: Okay, okay, thanks Dave. Say, looking at couple of other line items, OpEx, was there any non-cash items in there, any kind of one-time rates that we need to pay attention to and maybe take tax rate as well. How should we look at that going forward?
Dave Burney: The tax rate as Pete had mentioned when he was talking about the fourth quarter of last year, we’re in the same situation again this year where Congress has not passed the R&D tax credit for this year. So, we’re accruing at a rate that’s a little bit higher than what we hope it will be. It’s, we expect if they pass the R&D tax credit later this year that we’ll be in the back to the 32%, 31%, 32%, 33% range. So, we’re a little bit higher because of that. And your other question, are there any other non-cash type of things that we should be thinking about. There wasn’t anything really on the first quarter at all.
Dick Ryan: Okay. And then just trying to just kind of look at gross margin, if I strip out some of the step-up factors from last year and a little bit this year, if you just - just trying to take a look at raw gross margin, it looks like it was maybe 27.5% last year, a little over 25% this year. Is there anything to read-in in your gross margin axing out those acquisition related charges or is it just kind of normal ebbs and flows?
Dave Burney: No, I think it’s normal ebbs and flows. I think when you make the adjustments that you’re mentioning there backing out the inventory step-up type things, pretty much this business as usual on the margin side of things.
Dick Ryan: Okay, great. So Pete, on AeroSat, your main customer there is talking migrating to a next generation technology. They have a pretty healthy backlog with your KU Antenna. Can you give us a sense of kind of what you’re spending and new technology there and if you’ve got other market opportunities just beyond that main customer?
Peter Gundermann: Sure. I would say we have a two-level focus there, we’re of course trying to satisfy and execute for that main customer. And I think we’re making good progress there. And we think we’re through a lot of the start-up hurdles and revenues growing and productions getting much more regular. We are at the same time as you suggest working on kind of the next generation. And I guess, we continue to feel like we’re early on in the ball-game here, and there is a lot of run-way to go. And we’ve had a couple of side-stop maneuvers where things didn’t go exactly as we thought that they would. But we also continue to be pretty excited about the long-term potential that are placed in it. So, beyond that I don’t know if I can get real specific but we are continuing to work on next generation programs including with our big customers. So, I think we’re…
Dick Ryan: Would you see that opportunity more in the commercial transport side or in the business jet side of ISE?
Peter Gundermann: It could be both, could be both. We’re working on both.
Dick Ryan: Okay, okay. And on system certification, how many customers roughly do you kind of work with that group?
Peter Gundermann: The total cumulative number is quite large. But there is, it’s like most businesses, there are probably five major companies including ISE service providers and airlines that drive a majority of revenues. But they basically market both the systems companies and to airlines, mostly in the commercial transport world.
Operator: Thank you. And our next question comes from the line of Johnston Marlys [ph] of Canaccord Genuity. Please go ahead with your question
Unidentified Analyst: Hi guys, thanks very much for taking my question. So, regarding the SmartTray partnership, do you see, do you expect more of these sorts of partnerships and I guess on top of that, do you see discretionary spending at some of your customers improving?
Peter Gundermann: Well, I guess we don’t have a stated objective of these kinds of partnerships where we definitely have noticed as we get bigger and as we carve out more of a market for ourselves that we have more opportunities to consider adjustment of truth. And but it’s not an initiative in of itself, this is one that we thought made a lot of sense. We had a pretty major trade show just last month, it was much earlier in Hamburg Germany, Aircraft Interiors, it’s called. And we have the SmartTray relationship announced shortly before the show. And we have a pretty big booth at this show and we have a lot of interesting technologies and opportunities for customers to come look at and review. And I think we were all quite pleasantly surprised that just how much positive attention the SmartTray demonstration in our booth received from airlines. So I think the airlines are definitely doing better than they as a group around the world than they have historically. And I think they are differentiating themselves. They’re focusing maybe much more on the customer than they used to do collective as a group. And that happens to be kind of where we played, that’s our sweet spot. So, we’re not the only ones by any means, we’re trying to figure out how to attach a laptop to the infrastructure on the airplane. But we think that the design that the guys at SmartTray come up with it is very elegant. And I was very impressed with how much enthusiasm was demonstrated by the various airlines who, came through our booth at the show. So, I guess, we continue to think that it’s good market for us in that sort.
Unidentified Analyst: Okay. And one other question on the Test segment is the ramp in the cadence you outlined, does that include the VIPER/T and RFDACS contract wins? I’m sorry, and then on top of that…
Peter Gundermann: You mean for the Test side?
Unidentified Analyst: Yes, yes, sorry, the Test side. And then, does it help correct any of that lumpiness that we see?
Peter Gundermann: Yes, more business will definitely help lumpiness we think.
Unidentified Analyst: Right.
Peter Gundermann: The RFDACS is kind of a continuation of something we’ve already been doing. In fact, I think when we won that program we had $3 million or $4 million outstanding on the current or the previous program. So that’s more a continuation should individually affect our ramp or do much even or level out lumpiness. The VIPER/T is something that we think right now it’s a little bit of a modest program. You might think of it as a low-rate initial production kind of program, but it’s one that we think could grow into a substantial award down the road. And again, I kind of alluded to in my monolog, we have some technology insertion that we’re putting in there that we think could be of interest to other customers on other programs that in of itself could be more valuable to us in the long run than VIPER/T. So, we think it’s an important win but I’m not sure it’s going to fundamentally change our trajectory on the top side at this point.
Unidentified Analyst: Okay, thanks. That’s all I had.
Peter Gundermann: Okay.
Operator: [Operator Instructions]. Our next question comes from the line of Kevin Ciabattoni with KeyBanc. Please go ahead with your question.
Kevin Ciabattoni: Hi, thanks for getting with the follow-up here.
Peter Gundermann: Sure.
Kevin Ciabattoni: I just want to follow-up on the Aerosat question. Any color you can give with kind of how much more run-way you have there in terms of deliveries to go. I guess they said they had 31 installs during the quarter with 177 left to go. I mean, any color, you can give in terms of are you kind of shipping in line with their quarterly installs?
Peter Gundermann: Well, I don’t know if I can give you any color. We do what they tell us to do. So, I think in general we are doing a good job keeping up with them I think at this point. And I think they’re generally pleased with us but I can’t speak for them in their business. So, I can’t really help you with that one, I don’t think.
Kevin Ciabattoni: But you’re still shipping products to them now?
Peter Gundermann: Yes, yes, absolutely.
Kevin Ciabattoni: Okay, okay. And then the last one from me Pete, corporate expense looked like it was up a little bit kind of versus where it’s been historically even looking at last quarter and adding back some of the one-time items, anything outside of the Armstrong acquisition that drove that up?
Peter Gundermann: Dave, you want to mention that?
Dave Burney: Yes, a little bit of it was driven up by just the timing of some of our ancillary services and procurement of legal accounting outsourced services. I expect that that will moderate over the next three quarters.
Peter Gundermann: It was a bit of an active first quarter in terms of settling 2014 financials and fundamentally being at a level in terms of volume and velocity that we have not been at before. We survived it fine but there was some expenses along the way.
Kevin Ciabattoni: Okay. Thanks. That’s all I had.
Peter Gundermann: Okay.
Operator: Thank you. And it seems that we have no further questions at this time. I’d like to turn the floor back to management for any additional remarks.
Peter Gundermann: No more remarks. Thanks for attending. And we look forward to talking to you again at the end of the second quarter. Have a good day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.